Operator: Good morning, and welcome to the Bausch + Lomb Third Quarter 2022 Earnings Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Alison Ryan. Please go ahead.
Alison Ryan: Thank you. Good morning, everyone, and welcome to our third quarter 2022 financial results conference call. Participating on today's call are Chief Executive Officer, Mr. Joe Papa; and Chief Financial Officer, Mr. Sam Eldessouky. In addition to this live webcast, a copy of today's slide presentation and a replay of this conference call will be available on our website under the Investor Relations section. Before we begin, we would like to remind you that our presentation today contains forward-looking information. We would ask that you take a moment to read the forward-looking statement legend at the beginning of our presentation as it contains important information. This presentation contains non-GAAP financial measures. For more information about these measures, please refer to Slide 2 of the presentation. Non-GAAP reconciliations can be found in the appendix to the presentation posted on our website. Finally, the financial guidance in this presentation is effective as of today only. It is our policy to generally not update guidance until the following quarter and to not update or affirm guidance other than through broadly disseminated public disclosure. With that, it is my pleasure to turn the call over to Joe.
Joseph Papa: Thank you, Allison, and thank you, everyone, for joining us today. I will begin some comments about our Bausch + Lomb third quarter highlights. Sam Eldessouky, our CFO, will then review the third quarter financial results in detail and discuss our 2022 guidance. Finally, I will conclude by discussing our product pipeline and upcoming catalysts before opening the line for questions. Before I start, I want to especially thank our B&L team for their strong efforts in the third quarter of 2022, our first full quarter as a public company. As an integrated eye care company operating today Bausch + Lomb uniquely positioned in the eye health market. On Page 4, you see that we are building on approximately 170 years of success as a leading eye health brand, Bausch + Lomb is a company with the highest brand awareness in eye care. And as a global leader in consumer eye health, we have outpaced U.S. market growth by approximately 1.7 times since 2018. Turning to Slide 5. We continue to see compelling opportunities for stand-alone Bausch + Lomb as a pure-play eye health company. First, we believe the company is well positioned for growth in large durable markets driven by new products and favorable mega trends are tailwinds that are expected to continue driving demand for our eye health products. Second, we continue to see margin expansion over the long term based on our new product launch opportunities. And finally, as a publicly traded company, we expect to have balance sheet flexibility to expand investment in business and additional strategic bolt-on product opportunities. Given the challenges presented by the current economic environment, I want to spend a moment to share our insights on the potential impact of inflationary pressures on the eye health category. On Slide 6, we've presented data and other insights which show that the eye health business is resilient to economic pressures. The first statistic on the left underscores just how important eye sight is. 81% of U.S. adult survey will be willing to give up something else that is very important to them, if it met never losing their eyesight. Looking at Bausch + Lomb within this eye health sector, we believe our business is well positioned to get an economic downturn because Bausch + Lomb has the highest brand awareness in eye care. Bausch + Lomb has a diverse product portfolio of more than four [ph] branded and generic products, as well as products that are offered at various ranges of price points. Bausch + Lomb has a geographic presence in approximately 100 countries and Bausch + Lomb is investing in R&D to expand our portfolio with more than 15 new product launches expected in 2023. To summarize the survey data and our team's experience through previous economic cycles tells us that eye health will continue to be a priority for consumers and patients. We believe customers will continue to want the best and most trusted products and services, which means that Bausch + Lomb is well positioned within the overall eye health sector. Moving now to the third quarter highlights on Slide 7. Our third quarter overall organic revenue growth was 5%. And importantly, it reflects growth in all three of our business segments. A few key highlights note. First, our continued momentum in key portfolios, reported revenue of Ocuvite and PreserVision grew by 14%, and we're pleased to report that PreserVision currently has an approximately 95% market share in the U.S. and the 14% organic growth in Surgical implantable was driven by the premium and standard IOLs. Next, our investment in the faster-growing eye health categories. LUMIFY U.S. weekly market share in the registry category has reached 49%, and we are seeing signs of a strong early launch in Canada. We're also well positioned to take advantage of the U.S. prescription dry eye market, which grew at a 24% CAGR from 2016 to 2021 and is expected to see double-digit growth from 2021 to 2027. In NOV03, our potential first-in-class treatment for dry eye disease associated by Meibomian gland dysfunction has a June 2023 PDUFA date. Finally, new product category expansion, we entered into an exclusive European distribution agreement for a minimally invasive surgical procedure for the treatment of glaucoma during the third quarter. And our premium LuxSmart IOL is now launched in 19 countries. To summarize, third quarter results demonstrate that our business is continuing to deliver strong performance despite the currency and inflationary headwind pressures. Our key brands have demonstrated their durability through challenging economic conditions and remain focused on continuing to invest in innovation to drive future growth in large, fast-growing markets and categories. And with that, I will turn the call over to Sam to cover the financial results in more detail.
Sam Eldessouky: Thank you, Joe. Before we get into the details, I will remind listeners that when we talk about organic revenue growth, we mean on a constant currency basis and adjusted to remove the impact of divestitures and discontinuations. Turning now to our results on Slide 8. We're pleased to report our sixth consecutive quarter of organic growth, demonstrating the durability of our business in a highly attractive eye care market. Our total company revenue was $942 million for the third quarter, up 5% organically. The revenue growth was broad-based, with strong performance across all segments. Key consumer brands such as our Eye Vitamin franchise and LUMIFY are maintaining leading market share positions. Our contact lens portfolio continues to grow. And procedure volume is driving demand in surgical, which is also creating positive tailwinds in our Ophthalmic Pharmaceuticals segment. In an economic environment where sustained levels of high inflation are leading to some changes in consumer behaviour, customers are remaining loyal to trusted brands like Bausch + Lomb. While we are not immune to the economic pressures, we do expect that Bausch + Lomb portfolio to continue to demonstrate strong resilience, as consumers and patients prioritize their vision care needs. We are pleased with the recovery in China. The B&L business in China grew 6% organically compared to the prior year quarter and 28% on a sequential basis. We're encouraged by the improvement trends, and we'll continue to monitor the pace of the recovery as the market works to return to pre-COVID levels. Currency had a substantial impact in the quarter, which impacted our reported revenue of minus 1%. FX, headwinds and revenue were approximately $55 million or 575 basis points. The current strength of the U.S. dollar is something the market has not seen in a long time. The U.S. dollar is at the strongest level in about 20 years versus the euro. And the U.S. dollar strike versus key P&L currencies like the yen and British pound is also something we have not seen in decades. Overall, we're very pleased with our 5% organic revenue growth in the third quarter and believe that the long-term fundamentals of our business and the eye care market remain highly attractive. Now I'll go into more detail on each of our segments. Revenue in the VisionCare segment, which includes contact lenses and consumer products, grew organically by 4% in the third quarter. Our consumer portfolio, which was up 3% organically, saw continued market share leadership in key categories, such as Eye Vitamin, Redness Relief and Lens Care. We're seeing consumer behavior adjusting to inflation, although the prevalence differs by category and market, generally price and promotion sensitivity have increased. B&L has the trusted brands consumers are sticking with and we will continue to manage the balance between strategic pricing and growing market share. The Eye Vitamin franchise preservation occupied grew by 14% on a reported basis and 6% organically. PreserVision is the market leader in the Eye volume category and is a great example of our B&L product with a strong brand equity. The Eye Vitamin franchise continues to be a strong driver of growth. We recently launched an enhanced Eye Vitamin [ph] formulation, and we see an opportunity for the category to continue to expand with increased AMD awareness. LUMIFY reported revenue grew by 7% in the quarter and reached a record 49% market share. Consumers continue to value the level of innovation LUMIFY brings to the redness relief category, LUMIFY recently launched in Canada and is off to a strong start. We see multiple catalysts to continue the growth trajectory for LUMIFY, including launching into new categories. We saw strong revenue growth in our Bio True franchise, led by the launch of Bio True hydration, plus multipurpose solution. B&L continues to gain market share in the multipurpose solutions category. In the quarter, B&L market share increased 410 basis points versus the prior year. Artelac is a leading dry eye product in Europe and is a $100 million-plus revenue brand, grew by 11% organically. Also during the third quarter, we saw a slight impact to revenue caused by the delayed timing of shipments due to Hurricane Ian which we expect to recover in Q4. Revenue in lenses was up 6% organically, with strong growth in each of the three key B&L franchises, 8% reported and 23% organic growth in [indiscernible], 7% reported and 12% organic growth in Ultra and 2% reported an 8% organic growth in Bio True One Day. The market conditions in China have improved, and the China lens portfolio grew organically by 2% year-over-year. We're very encouraged by the improvement trend. We will continue to monitor the progress as local policies and measures continue to be in place to comply with the zero corporate policy. Also, the pace of the recovery has varied by channel with e-commerce progressing at a faster rate than retail. As the retail market improves, we see an additional opportunity for growth. We continue to be excited about our DLI [ph] high lenses. This is a multiyear growth driver for our portfolio as we gain scale and prepare for the future launches of the multifocal and toric lenses. We're focused on accelerating the manufacturing output to meet significant end market demand. I expect manufacturing output ramp-up and yield to continue to improve. Having a diversified portfolio with different modalities and price points, also benefit our business in the time of a high-end consumer price sensitivity. Our value-oriented Dailies [ph] brand, Soft Lens grew 9% organically in the quarter. Moving on to our Surgical segment. Third quarter revenue grew organically by 8% to $172 million. As procedure volume continues to increase in certain markets, the increase in procedure volume drove 6% organic revenue growth in consumables, which is the largest B&L Surgical category and 14% organic growth in implantables. The strong performance in implantables was driven by both our premium and standard IOLs portfolios. Our equipment portfolio grew 3% organically in the quarter and was impacted by some constraints on availability of supply. We expect the backlog of cataract surges to be a tailwind over an extended period of time. We also have an opportunity to expand the portfolio with several upcoming launches including a 3D microscope for which we expect to launch in 2023. Finally, in the Ophthalmic Pharmaceuticals segment, third quarter revenue of $172 million grew by 5% on an organic basis. This was mainly driven by strong performance in the international markets with 15% organic growth. The growth is attributed to improving conditions in China and an increase in surgical procedure volumes in Europe. International option continues to demonstrate durable growth and the benefits of a large portfolio with an extensive global reach. In the U.S., the tail end of LOE headwinds is becoming less meaningful and investments in market access of our key promoted brands by VYZULTA continue to drive volume gains. VYZULTA TRx growth was up 29% in the quarter and revenue grew by 4%. We're also executing our VYZULTA geographic expansion strategy. We launched VYZULTA in Thailand in the second quarter. We're preparing for a launch in Brazil by the end of this year, and we're targeting further geo expansion opportunities. We continue to focus on the transformation of the Opto portfolio. [indiscernible] launch is tracking well, and NOVO3 has been assigned a PDUFA date of June 28, 2023. This brings us a step closer to what we believe is a substantial market opportunity. On Slide 9, we quantify the impact that FX headwinds are having on the business. The strength of the U.S. dollar against all major currencies is something we have not seen in the market in decades. And inflation remains at the highest level since the 1980s. B&L continues to perform, and the eye care market is demonstrating resilience to macro headwinds. Our base business performance of $48 million in revenue growth was offset by FX headwinds of approximately $55 million for the quarter. Turning now to Slide 10. As a reminder, given the timing of the IPO, the 2021 results were not fully burdened by all the stand-up costs associated with the separation. As we previously disclosed, full year 2021 results did not reflect estimated stand-up costs of approximately $70 million, with total revenues of $942 million in the third quarter, we remain committed to our strategy to be fully invested in new product launches and in R&D while managing the impact of macro headwinds. Our adjusted EBITDA in the third quarter was $187 million. Adjusted gross margin for the core was approximately 60.5%, which is 110 basis points lower than Q3 2021. Apart from the product mix and manufacturing yield, the change in gross margin is largely driven by the high level of inflation, leading to higher cost of energy, transportation, labor, input costs such as resins and rising prices of surgical components. We're working to mitigate inflation challenges through various efficiency-enhancing initiatives and strategic pricing. We're also marketing the geopolitical development in Europe to assess the potential impact of increasing energy costs over the coming months. Over the longer term, the fundamentals and market opportunity for margin expansions continue to be in place. We have a clear path to expand margin in all areas of our business with launches of premium surgical products, a higher-margin Opto portfolio, increased scale [ph] in lenses and operating leverage. Our investment in R&D continues to trend at roughly 8% of revenue, which is approximately $14 million or 160 basis points higher compared to prior year. We remain focused on high-priority projects, while continuously evaluating our pipeline to accelerate new products to market. Adjusted SG&A increased by approximately $12 million year-over-year, which is attributed to an inflation-driven increase in transportation and labor costs. SG&A also reflects the cost structure of B&L as a stand-alone company, which was not fully reflected in the prior year's results. Finally, adjusted EPS for the quarter was $0.31. Moving on to Slide 12. Adjusted cash flow from operations was $48 million in the third quarter, bringing year-to-date adjusted cash flow to $216 million. Strategic inventory management and maintaining working capital efficiency continued to be key initiatives in light of the macro environment challenges. Third quarter CapEx of $49 million reflects strategic investments in our VisionCare portfolio and a number of productivity-enhancing initiatives. We ended the quarter with approximately $2.5 billion of debt, a net leverage ratio of approximately 2.9 times. B&L continues to have a strong balance sheet, which provides us with the flexibility to pursue value-enhancing investment opportunities. Now turning to our guidance on Slide 14. We are reaffirming our organic revenue growth guidance for 2022 in the range of 4% to 5%. We continue to see momentum in our business, and we remain committed to making the investments to execute our growth strategy. While our organic performance continues to be strong based on current exchange rates, we estimate full year FX headwinds to be approximately $210 million compared to $160 million, including our August guidance. To reflect the $50 million of incremental FX headwinds, we estimate our reported revenue will be in the range of $3.7 billion to $3.75 billion. We're maintaining our gross margin guidance of approximately 60%. We have implemented various cost efficiency measures and strategic price increases, which we expect will allow us to manage approximately 130 basis points of inflation pressure for the full year. We are updating our adjusted EBITDA guidance for 2022 to be in the range of $750 million to $755 million. This reflects approximately $10 million of FX headwinds incremental to our August guidance. It also reflects a $50 million impact related to the manufacturing yield and output ramp-up of our Daily SiHy [ph] high lenses. As we increase production of the Daily SiHy lenses to meet significant end market demand. the output ramp-up and manufacturing yield trending slower than expected in 2022. We expect that the output ramp-up will accelerate and the yield will improve in the upcoming months. And the incremental headwinds will be substantially reduced in early 2023. We continue to expect interest expense of approximately $150 million. In the third quarter, we entered into a cross-currency swap to mitigate market fluctuations, and we're exploring other options to manage potential interest rate movements. We are maintaining our estimate for the full year R&D investment at approximately 8% of revenue. Despite the macro volatility, we will continue to prioritize investment in our R&D pipeline, as we look forward to a number of launches in 2023 and beyond. Lastly, we expect our full year tax rate to be at the low end of our guidance range of 6%. This is mainly driven by our expectation of the product and geographic mix of taxable income. Looking forward, we want to provide some initial thoughts on our key priorities for 2023. We expect the fundamentals of the eye care market to remain strong and our focus will be on driving revenue growth. We have a full pipeline of more than 15 products that we expect to launch in 2023 across all of our segments. This includes NOVO3 in our ophthalmology portfolio and a number of launches in our surgical business. At this time, we expect macro market conditions to continue to evolve with the inflation stabilizing, although at a higher rate relative to historical levels. We also expect currency to remain volatile. Despite the macro pressures, we will continue to prioritize investment in R&D and product launches, as we continue the momentum in our current portfolio and add new products. We have an opportunity to leverage our existing commercial infrastructure for long-term margin expansion. In summary, we're pleased with the third quarter growth reflected in all of our three segments. The B&L portfolio continues to demonstrate resilience and the long-term fundamentals of the eye care market remains solid. Now back to you, Joe.
Joseph Papa: Thank you, Sam. I will now discuss our product pipeline and the upcoming catalysts that we expect to drive our business results. On Slide 16, we highlight some of the key consumer franchises that have been gaining market share. First, on the left, PreserVision retained a 95.1% market share in the third quarter of 2022, a gain of 120 basis points compared to the prior year quarter. Given the success of our Eye Vitamin franchise, we are working on a brand family line extensions, including an enhanced formulation of Ocuvite with Vitamin D for adults age 50 and over and a combination of presentation product with an antioxidant that helps support healthy heart function. Next, U.S. market share rational and multi-purpose solution was 57.4%, up 410 basis points compared to the third quarter of last year, driven by our BioTrue multipurpose solution. And we are expanding the BioTrue mega brand platform to strengthen our competitive advantage in dry eye disease. Finally, on the right, Artelac, a $100 million growing dry eye global franchise grew organically by 11% compared to the third quarter of last year. Artelac branded products are available in more than 35 countries, and we have more than 10 line extensions underway. We recently launched Alexia, moisture and drop for dry eyes in France. Now turning to Slide 17 on LUMIFY. In the U.S., LUMIFY is the number one redness reliever in the category with approximately a 49% market share, building on the phenomenal success of this product and using the power of our fully integrated eye care platform we are planning to expand the brand geographically and through line extensions. In July, we launched LUMIFY in Canada. We're solved to the fastest launch for Bausch + Lomb in the Canadian eye drop market and is generating twice the amount of sales versus the previous leading eye drop launches. Geo expansion continues to be a priority, and LUMIFY is now improved in six countries. In addition to launching in new markets, we are expanding LUMIFY’s beauty positioning to specialty eye care and have a number of line extensions planned for 2023 and beyond, including a makeup remover, eye cream and elastin [ph] brown serum, along with a single dose preservative-free eye drop and a combination of product with ketotifen for allergy symptom control. On Slide 18, we show the 2022 and near-term launches that we believe will position the company for transformational growth. Our 2022 launches included XIPERE, revised custom soft contact lenses, our Lux Premium IOLs and most recently, Project Watson, our brand-new line of products specifically formerly helps support dogs eyes, ears and overall well-being. Looking ahead to 2023 and beyond, our strategic investments in R&D are yielding a pipeline of new, innovative products in higher margin, high-growth categories such as premium IOLs and pharmaceuticals. On Slide 19, as we mentioned earlier, we now have a June 2023 PDUFA date for NOVO3, a potential first-in-class treatment for dry eye disease associated with meibomian gland dysfunction. If approved by the FDA, we expect to launch NOVA3 in the second half of 2023. Dry eye disease is one of the most common ocular service disorder, affecting approximately 18 million Americans NOVO3 is expected to address a evaporative dry eye, which is an unmet need in approximately 90% of dry eye disease sufferers. This is a fast-growing market with unmet patient needs from 2016 to '21 the U.S. prescription dry market grew at a CAGR of approximately 24%. And given the current macro dry disease treatments and the results of the two Phase III trials, we believe that NOVA3 has the potential to be a major future growth driver for our business. On Slide 20, our Surgical business is preparing for the upcoming launch of the eye Telligence system, a cloud-based digital platform that will help streamline the complex processes from presurgery assessment to post-synergy evaluation. Ophthalmic surgical procedures require a sophisticated multistep process that involves patient diagnostics, clinical treatment planning, surgery planning post-op analysis and more. That transitions between each step requires the manual transfer of data, which can be time-consuming and lead to unintended human error. When the next-generation Eye telligence platform is launched, we expect to occur in 2023, the analytics software allows surgeons to seamlessly integrate all aspects of the cataract, retinal or refractory surgery processes to maximize their overall practice efficiency. We're excited about this significant step forward that will enable us to advance interconnectivity and leverage data support and improve patient outcomes. On Slide 21, we featured another anticipated 2023 launch in our Surgical business, the 3D Microscope, which are ophthalmic search as a fully digital surgical visualization platform. The microscope peers exceptional image quality with ergonomics, allowing her to tackle complicated surgical cases with confidence and needs. And importantly, the 3D Microchip can be integrated with our eye Telligence digital platform. The market opportunity for this product is significant. Industry reports estimate a $400 million growing at a CAGR of approximately 6%. On Slide 22, we show the geographic location expected timing of the upcoming premium IOL launches near term, we are preparing for 2023 launches of Bausch + Lomb Envy [ph] the Invista trifocal IOL in Canada and Bausch + Lomb Aspire, the extended range monofocal IOL in the U.S. and Canada. Our near-term focus is launching these premium IOLs in North America and the EU, followed by the Asia Pacific region. On Slide 23, we listed the progress we have made against three key areas of focus that we identified at the priorities at the beginning of 2022. First, the continuing momentum of our portfolio; second, investing in categories that are growing faster than the market; and third, expanding into new product categories, to highlight a few, we are on track to deliver 4% to 5% organic revenue growth in 2022 due to, in part, the strong performance of our key franchises, including market share gains. We have made investments in innovation like our [indiscernible] lenses, 3D microscope and NOVO3. And lastly, expanded into new categories with XIPERE, revived contact lenses and the minimally invasive surgical procedure for glaucoma. We believe that continued to deliver against these three key areas of focus will position the company for future growth. To wrap up on Slide 24, as a fully integrated eye health company with the highest brand awareness of any eye care company, a global footprint in approximately 100 countries, a comprehensive portfolio of more than 400 products across all price points, Bausch + Lomb is uniquely positioned to meet the eye needs of patients and customers even in challenging economic environment. Bausch + Lomb serves our patients and consumers through all phases of their lives, developing and offering new treatments to meet unmet eye health needs and help people to see better, to live better. Our third quarter results demonstrate that our business is continuing to deliver on strong performance despite the currency and inflationary headwind pressures we face. Our team remains focused to continuing to generate momentum in our key products, invest in fast-growing categories and expand into new product categories. Looking ahead, we continue to believe that Bausch + Lomb is well positioned for success as a skin-alone pure-play eye health company. With that, operator, let's open up the line for questions.
Q - Zack Weiner: Hey. Good morning, everyone. Thanks for taking the question. Just one for me on inflationary pressures to start. Can you give some color on the impact in 3Q? And how we should be thinking about inflationary pressures over the next couple of quarters? And then also how that will impact the manufacturing of the SiHy lenses? Thanks.
Sam Eldessouky: Good morning, Zack, it's Sam. So when you think about the inflation, when we looked at the beginning of the year, we expected inflation to be roughly about 100 basis points on our COGS. And on - as we continue to see inflation rise right now in the U.S. is hitting about 8%, Europe were about 10%, we've updated our estimate to be about 130 basis points. And that's for the full year. In the quarter, it's staying relatively in the same direction. It's about the 100, 110 basis points in the quarter that we've seen the impact. As you look forward, really, when we think about Q4, we probably expect it to be running at around the same rate that we've seen right now. So we'll be around still the 100 basis point impact. And briefly from an impact on Adelaide [ph] we haven't seen much of an impact on inflation per se on Daily SiHy. I think the Daily SiHy, it really - doesn't have much of an impact in place. You see a little bit on transportation, but not really we've seen much of an impact on the inflation. I think the only thing I'd add to it, Sam, is that, as you know, the important part for us as we think about the launch of the SiHy product is that it is a premium price product relative to, obviously, a monthly lens or a hydrogel lens. So it moves patients to an opportunity for us to have a premium product into the marketplace. So that's - you're moving patients from a monthly lens from a $250 per year lens to a Daily hydrogen lens, somewhere about $500 lens up to the Daily SiHy hit somewhere in that $750 range. So obviously, that's obviously going to help us with some of the inflationary pressure that we see out there.
Zack Weiner: Very helpful. Thank you.
Sam Eldessouky: Operator, next question please?
Operator: Thank you. The next question is coming from Cecilia Furlong from Morgan Stanley. Cecilia, your line is live.
Cecilia Furlong: Hi, great. Good morning and thank you for taking my questions. I wanted to start with R&D, just your comments on the spend in 2Q, you talked about previously kind of a 7% to 8% of sales outlook over the next few years. Can you just talk to how you're thinking about R&D spend and cars the focus beyond 2022?
Joseph Papa: Sure. Good question, of course. Certainly, one of the things that we're excited about is the future opportunity of the products that we have. I made mention during the call of 15 new product launch opportunities in 2023. And importantly, going into some areas that once again are important to us going in with the premium IOLs, we have the Lux product premium out there. We have some new Invista opportunities as we look to 2023. So those are going to be exciting. We also have the new Microscope 3D. Microscope - we have the eye Telligence system. All these things are backed by the R&D programs that we're putting forth. What we have said as a company is that we want to make the investment in R&D and everything that we can do to accelerate the timing and launch of these products is important to us. We did see an opportunity in 2022 to move the R&D spend from that 7% to 8% to invest and get it to somewhere around 8% this year as we've talked about. As we think about the future, I think we are not going to guide to 2023 and beyond, but we do think the trends are going to be somewhere in that 7% to 8% because we do see the opportunities in front of us to invest in our business. We think the R&D investment is going to be the probably the most critical place that we make these investments to ensure that we have new products coming into the future to support the long-term growth of our company. So we're excited about it.
Cecilia Furlong: Great. And if I could follow up, too, just on Daily SiHy. Can you talk about the growth you saw in the quarter and really where you're seeing greater share from new fits versus competitive conversions versus cannibalization? And then also separately, if you could just comment on China, how you're thinking about recovery into 4Q and really what you saw from a recovery standpoint in 2Q and 3Q. And thank you for taking the questions.
Joseph Papa: Sure. A lot of good follow-up questions here. I'm going to try to game if I miss them, just come back to me. The first comment on the Daily SiHy growth is 23%, we grew. So clearly, we're excited about that growth in the quarter relative to our Daily SiHy. As Sam said, some of the things that we're working on here, our supply chain team is doing a great job on the execution of everything from installing new equipment, getting it validated, running it, ramping up the opportunity in front of us. But the demand is out there. We just want to make sure that we can supply a sufficient amount of Daily SiHy up into the marketplace. So that clearly was an important part of what we've tried to do, but 23% growth is the specific answer. In terms of where it's coming from, everything we see is coming from DT1, Oasis and just general new starts. We have seen some cannibalization from our own lines, but really mostly that we've seen from the DT1, Oasis and new starts is where we saw the primary source of the product. And then, Sam, do you want to talk about the China recovery portion?
Sam Eldessouky: Sure. And so in terms of China, we've seen a very nice recovery in the third quarter. And as you recall, we had challenges in the first half of the year with the lockdowns in China. We've seen that turn in the third quarter. We had 6% organic revenue growth that's year-over-year. When you look at it sequentially, it was about 28% growth. So we're very encouraged by the trends that we're seeing in terms of our recovery. We've seen the retail channel come faster - sorry, the e-commerce come faster than the retail channel at this point. But one of the things that we're going to continue to watch is the policies within China. They're still under the zero COVID policy, and that could spark some lockdown. So we're going to be optimistic, but we're going to continue to watch what happens in the next couple of months.
Cecilia Furlong: Thank you again for taking the questions.
Sam Eldessouky: Thanks, Cecilia.
Joseph Papa: Operator, next question, please.
Operator: The next question is coming from Vijay Kumar from Evercore. Vijay, your line is live.
Unidentified Analyst: Hi. This is Kevin on for Vijay. Just one on pricing. Can you talk a little bit about the pricing impact in the quarter? And looking into 2023, how should we think about pricing increases and savings and for the year?
Joseph Papa: Sure. I'll start and Sam you want to add to it. But we - just going back on pricing because I think it really comes back to where we were in the beginning of the year. We did take pricing throughout the year in the 2022 time frame. We started it first in the January time with our ophthalmology prescription products and then we moved it also to the lenses, contact lenses. And then we did take pricing on our consumer products in that January time frame because we need to give some sufficient advanced notice the actual up room - operating process of actually showing it to the marketplace did not show up until approximately that March time for our pricing on the consumer products. So we have taken that price during the quarter and throughout the year. As we think about pricing going forward, we'll take a similar approach. We've been - as Sam was talking before, we've been monitoring the inflationary pressures out there in the marketplace. Our expectation is that we will take our price increases on our ophthalmology prescription product early in January of 2023, as well as some decisions that we're making right now on the pricing in the early 2023 timing for what we'll do with lenses and the consumer products to reflect what we're seeing out in the inflationary pressures. But those plans are in place and we have our plans to go forward with it.
Sam Eldessouky: Yes. And we have strong brand equity overall. And you've seen that throughout this year and 2022, we've gained market share across many of our product lines and many of our markets that we participate in. So we have a leading position. We'll continue to monitor the market conditions as we go into 2023, and we'll continue our quality to manage the balance between the strategic pricing and continued market share.
Joseph Papa: And probably the only other thing I'll mention on pricing because one part of it pricing always is the actual list price changes, but we also are continuing - we mentioned previously that we have something called project core, core stands for cost optimization, revenue enhancement. And those programs are also designed to look at not just the list price, but really as it gets to the net price of what we are doing. Our project core has been very beneficial to us in the past, and we also look to - for this to help us in the future. Since activities on discounts and some of the other programs that are part of that will be an important part of what we do on pricing going forward, especially as we look to see what's happening from an inflation point of view. And of course, as I mentioned before, we also look at - as we launched the premium products, we can realize higher pricing on some of these products as we move through to a Daily SiHy or as we move to a premium IOL versus the other products that are out there in the market today. So all that is how we're thinking about pricing as we go to the future for our business.
Unidentified Analyst: Thank you.
Operator: The next question is coming from Robbie Marcus from JPMorgan. Robbie, your lime is live.
Unidentified Analyst: This is actually Lilly on for Robbie. Thanks for taking the question. Maybe if you could just talk a bit about the environment for capital equipment and what demand has looked like recently. what is a headwind for you in the quarter? And how are you thinking about this trending into fourth quarter and into 2023? Thanks.
Joseph Papa: Yes. So everything that - we've looked at this question on the capital equipment, especially with some of the conservative questions about recession. So what do we know? What we know is that based on prior recessions, the usage of the cataract procedures, which is where we're mostly weighted, continued like during the recession of the - great Recession of 2008, '09. We saw capital equipment demand continue - actually, the amount of procedures continue, which ultimately is going to translate longer term into capital equipment. So we do see that from a big macro environment point of view, that the need for cataract surgeries is going to continue even if we head into a recessionary environment. And that's one of the things we've looked at. We do obviously acknowledge though that we had strong - in our surgical business, we had a stronger demand for our surgical consumables and implantable. That is absolutely clear in what we've seen. Just specifically, implantable was a 14% organic growth, the consumables was about a 6% organic growth. So those are the faster-growing segments of our surgical business. And we've been continuing to look at what's going to happen with the capital equipment. But overall, we do know because one of the questions we've asked ourselves all the time, it's what happens in a recession for things like cataract procedures. But overall, the direct answer is there was about a 3% capital equipment growth rate. So it was lower than the rest of our surgical business, but it continues to grow. Thank you for your question.
Operator: Thank you. The next question is coming from Craig Bijou from Bank of America. Craig, your line is live.
Craig Bijou: Good morning, guys. Thanks for taking the questions. I wanted to follow up on some of your comments on the resiliency of the eye care market? And then also, you did talk about price and promotion sensitivity in the consumer business. So maybe I wanted to see if you could talk a little bit about the sensitivity on other parts of the business, the contact lenses, maybe even the monofocal versus premium IOLs and what you're seeing there? And then it sounds like you still have confidence that you guys can take some price looking ‘23. So I guess the question is just how good do you feel about that? Do you think that any changes in the macro recessionary environment might impact that ability to take price?
Joseph Papa: Sure. Great question. And when we ask ourselves all the time in terms of how we're thinking about the future of the business. In terms of resiliency of the eye care market, we did mention the comments on the consumer side. Clearly, as we look to - across all of our business, we take a very segmented approach. We look on the consumer side on price sensitivity. Everything for what's happening with the products like LUMIFY, which we see continued strong growth, as I mentioned, I've got a 4% to 9% share. We saw the gains in market share that we saw in the PreserVision as an example I used on PreserVision we were up significant basis points. We were up [ph] on PreserVision. We were up 120 basis points for U.S. market share just as an example. So we're continuing to see that momentum in gaining volume there. On the question directly related to contact lenses, we've checked on the contact lens fit sets, and they're roughly flat from a year ago. That was one of the questions we asked. Clearly, within the fit set [ph] and what the fittings going on, there is more movement towards the daily disposables to be clear. But the actual number to fits are roughly flat versus last year. So that's something that we're monitoring closely. Of course, with our Infuse [ph], as I mentioned, it's up 23% organically. So that's something we're really excited about. On the next part of the question, I guess, the macro environment and an ability to take price. What we're looking at is the inflationary pressures that Sam talked about and how we're going to look at the pricing environment. So everything that we've looked at so far tells us that on the places where we're planning on pricing like the ophthalmology prescription business that there is an opportunity for us to take some incremental pricing there. We do believe on the consumer side of the business, we're going to be smart about what we do. But we do think there's an opportunity to take prices also on the consumer side and on the lens side. anything I left at, you want to add to the comments?
Sam Eldessouky: No, I think very well, Joe. I will add, when you think about our lens portfolio, I think we benefit from having the diversification of the portfolio. I think we talked a lot about daily SiHy and growth of 23% organic in the quarter. But also when you think about Ultra grew 12% organically. You have buy through one day, grew at 8% organically and also soft lens, the dailies brand within our soft lines, which is a value type of offering in the lenses that grew 9% in the quarter. So we are benefiting from the opportunity of having different price points and different offerings within our lenses, and we're seeing the growth across all those different components.
Craig Bijou: Great. If I could squeeze one follow-up in. I mean, any update on the CEO succession plan?
Joseph Papa: Sure. Good question. The company, as you recall, back in July, we announced that we would be moving forward with a new CEO and the search committee has undertaken that search. They have looked at internal and external candidates and is - they're making good progress and it is our expectation that the search committee will successfully complete the search by the end of the year. And at this point, I have committed to stay through the - make sure that once the CEO is announced and there is a successful transition with that CEO. So all that continues to move forward at this time.
Craig Bijou: Thank you, guys.
Operator: Thank you. And the next question is coming from Larry Biegelsen from Wells Fargo. Larry, your line is live.
Larry Biegelsen: Good morning, thanks for taking the question. Just first on LUMIFY, Joe, maybe could you talk about the outlook there, 7% growth in Q3 that was relatively low that was on a, I think, an ex FX basis, but it's mostly a U.S. product. So can this - is this a double-digit grower going forward with some of these line extensions and geographic expansion you talked about. And I'll ask my second question upfront for Sam, which is maybe a little bit more of a framework, Sam, on 2023? I mean do you still see 4% to 5% organic growth you talked about revenue growth upfront. And can you help us with kind of FX? Should we think about that as being a similar impact in '23 as '22 interest expense? How much does that go up or maybe it doesn't because of the swaps. And just the last piece, can you grow margins year-over-year in 2023 with this inflation headwind? Thanks for the taking the questions, guys.
Joseph Papa: Great question, Larry. Let me start with the LUMIFY portion, yes, 7% growth. I mean one of the important things I need to point out, though, is that we are also at a 49% market share. So we're really excited about what that means in terms of our ability to go from essentially zero share in a couple of years get to 49% share. But to be clear, we do have plans for growth beyond just the U.S. business. As we mentioned, it's off to a great start in Canada. It's outperforming previous launches of eye drops in Canada significantly. In fact, two times rate of growth of the next best launch in Canada. So we're really excited about that, albeit it's a smaller market than the U.S., but obviously is benefiting and seeing the same type of uptick with the - what we saw here in the U.S. Importantly, though, as we think about it, what are the key growth drivers for LUMIFY? Number one is the geographic expansion like Canada, but other countries coming online. Number two, it is the line extension that we'll do in terms of LUMIFY eye illuminations [ph] essentially taking this brand and coming out with some additional line extensions that are going to help us to leverage what we are doing with LUMIFY opportunity. One of the other things that I would mention is that there's always going to be some shipments that occur in early in one quarter, a little bit later in the next quarter, things like that. And that's just normal variation. So we actually saw the consumption for LUMIFY just if we think about the full consumption to be a low double-digit consumption growth. So we're clearly still confident about that. And as said with these new launches, that's going to be another part of it. And then importantly, last comment is that we're looking for the preservative-free formulation and also adding LUMIFY to and at a [indiscernible] so that you'll have the opportunity to help people who have allergic red eyes for the future. If approved by the FDA, we think that will be the other big growth driver for the LUMIFY business. Sam, I'll turn it to you for the second part of the question?
Sam Eldessouky: Thank you, Larry, for the question. There's many parts here, so I'm going to try to go through all of them if I miss anything, just come back. Just when you step back and you think about the top line and the growth and what we've seen in 2022 as just the foundation for our framework as you go into '23 is we're focused on driving organic growth in 2022. And you see that Q1 was 5%, Q2 was 6% and now Q3 on the Board here for 5% organic growth. So as we shift going forward, I think the focus on driving growth and getting the organic growth momentum to continue. That will be a key for us as we move forward. Joe covered a couple of the key highlights or the drivers for us in 2022, we have about 15 product launches that we expect next year, including NOVO3, which is a really great part for us, and we're excited about that launch in 2023. And then on the Daily SiHy, which is we seeing a significant end market demand right now. We're seeing that continue to shift in terms of the market demand to continue to increase as we go forward. and we will see that demand continue with us in 2023. So from a top line perspective, I will say that we have all the ingredients right now to continue with the organic growth as we go forward in 2023. I'm not going to specifically give a percentage right now is we're not guiding for 2023 today, but just all the key factors are there. From a currency, that's an interesting one because we've seen currency being very volatile in 2022. I think when we started the year with about $150 million of currency headwind, that was about 425 basis points, now we'll see - we update that based on the recent movement in the dollar being stronger against almost every currency that we do business in. So we've seen that roughly about $210 million. So when you factor in, we're probably assuming for the full year is roughly about 550 basis points of currency headwind. It's hard to predict how things will go into 2022, specifically about at least this and where we are today, and where the currencies are, I would expect currency to continue to be a headwind for us going to 2023, just based on the rate of where the dollar is. On the interest expense, we guided for full year 2020 for about $150 million. When we guided, we end up using the curves with the factoring in the multiple increases from the Fed that were going to happen into 2022. So the full guidance were 150 still remains good for us for 2022. One of the things that we will be watching very closely and just as a reminder for everyone, this is an interim capital structure for us. So we're going to be triggering upon the separation, a re-evaluation on the ratings, and we'll trigger - we'll move into more of a permanent capital structure. So right now, we're - our steps that we're taking is trying to make sure that we continue to mitigate any type of incremental or additional head interest expense as we go forward. So we entered the cross-currency swap in Q3, and we're evaluating multiple other alternatives and tools that we'll be able to explore for the rest of this year, able to continue to help us manage interest expense. I think the last part of your question was on the margin, and we grow margin, and I will say, absolutely. I think all the fundamentals that we have seen in 2022 as being a base year for us coming out of an IPO and all the product launches and the growth on the top line and the commercial infrastructure that we built in 2022, we believe that all is going to give us the opportunity to be able to continue to grow margins as we go forward into 2020 and beyond.
Joseph Papa: Second what Sam said in terms of - I think it comes down to, we've done a lot of the preparation required for us to go forward in ‘23 here in 2022. This ability to spend more in R&D now to accelerate some of the timing on the prime IOL, we think that's important. The premium IOLls going to get a much higher price point. If I use U.S. numbers, a monofocal IOL, somewhere in the $100, $125 range where the premium IOLs can be somewhere in the $750,000, $800, $900 range. So those types of opportunities on the margin are there. Same comment, as I mentioned before, on the Infuse product as we launched and get a stronger ability to get more share on the SiHy Daily at a higher price point. Those are all going to be important contributors to the margin. And the things that Sam talked about on Project Corp, all the things that the supply chain team are doing great work there to look at the cost optimization portion of that. So I think all of those things are going to be the benefits for as well as the new products that Sam mentioned.
Larry Biegelsen: Joe and Sam, I didn't hear on tax rate, 6% this year. I assume we shouldn't use that next year's 13%, which I think was the pro forma rate in '21, the right rate. Thank you and I'll drop.
Joseph Papa: Yes, sure. So we're guiding this year at 6%. As I think about next year, again, I'm not going to guide the exact specific percentage right now. However, I will say we are going to be still at the low tax rate as we go into 2023. I'm not going to guide specifically to what number it is right now, Larry, we still have work to do on that, but we will not see the 12% next year.
Larry Biegelsen: Thanks so much, guys.
Joseph Papa: operator, I think we have time for maybe one more question, please.
Operator: The next question is coming from Pito Chickering from Deutsche Bank. Pito, your line is live.
Pito Chickering: Yeah. Good morning, guys. Thanks for taking my questions. A follow-up question actually on the CapEx question. I understand the need for this equipment in a recession environment, but provider margins have been pretty pressured this year from labor pressures. And therefore, they have lower cash flows to buy new equipment. So I guess there are a multipart question here. I guess, number one, do you see providers become more efficient with the currequipment [ph] that they have, number two, you talked about or 3% instrument growth in the quarter by the slowdown. What did that grow in the first half of the year? And number three, how do new orders look for 4Q? Is that 3% range the right number for the fourth quarter?
Joseph Papa: Okay. A lot of good questions there. Yes. So I think that the general question in my mind is what's going to happen with the actual demand for cataract procedures. And that's where I started with is, do I think cataract procedures in a recessionary environment are going to decline. And simply based on what we've seen historically during recessions, the answer is no. Do I do think that one of the comments is that the providers are going to become more efficient, of course, I do think that people will seek to become more efficient. But I remind you that One of the things that we talked about previously is that because of what happened with COVID, we had anywhere from a 15% decline in procedures in 2020, '21 to 20% decline 2021 outside the U.S. So we have seen there's a pent-up demand. There is an opportunity to do more procedures. You're 100% right, though there is providers have questions about staffing, they have questions about cost of staffing. Do I think there will be an effort to be more efficient? Yes, I do see that we're going to keep monitoring it. I can simply say that with some of the innovation that we brought on our Stellaris [ph] equipment, we're seeing good demand for it. We're working very diligently to get the product out. Our supply chain team, once again, doing a great job dealing with some of the issues of making sure you get sufficient microprocessors, chips to get the product out the door. We've got demand out there. So we're excited. We think there's going to be opportunity there. We've got 3% growth now, of course. I mentioned that before, but we're going to continue to look to see demand out there and track it very closely. We don't see a specific slowdown other than what I mentioned about this quarter. We still see demand out there. Anything else you want to add, Sam?
Sam Eldessouky: No. In terms of the first half, I think we've seen the equipment as overall has been holding pretty steady for the first half - so you would see the performance has been pretty steady, just notwithstanding the different points that Joe just highlighted.
Pito Chickering: Okay. Quick follow-up just on cash flows. Can you just walk us through the impact to free cash flows [indiscernible] how we should think about cash flow conversion for 4Q/
Joseph Papa: It's a good question. We always thought about cash conversion for us as the free cash flow is roughly anywhere between 40% to 50% of EBITDA. So when we think about that as a metric from a conversion for free cash flow, that's probably the right sort of framework to think about. Just one thing I will probably highlight and you will see as we file 10-Q later today, we've been strategically also been building up inventory in certain parts of our business to make sure that we're actually meeting the demand and market demand that we have. So you'll see that inventory has been gone up roughly in the range from the beginning of the year until now, it's roughly about $100 million. That's all strategic in certain parts of our business to support the demand. So that's having a little bit of an impact on our free cash flow, but we're still probably going to be holding around 40% to 50% conversion margin.
Pito Chickering: Great. Thank you very much.
Joseph Papa: Well, let me bring it close to today's session. Thank you, everyone, for joining us today. We look forward to having opportunities to address any additional questions you have. And thanks again for your support of Bausch + Lomb. Have a great day, everyone.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.+